Executives: Morten Sven Johannessen - Vice President of Us Investor Relations Torgrim Reitan - Chief Financial Officer and Executive Vice President Svein Skeie - Senior Vice President for Performance Management and Analysis Ørjan Kvelvane - 
Analysts: Trond Frode Omdal - Pareto Securities AS, Research Division Kjetil Bakken - Carnegie Investment Bank AB, Research Division Morten Evjenth Lindbäck - Fondsfinans ASA, Research Division Oswald Clint - Sanford C. Bernstein & Co., LLC., Research Division Haythem Rashed - Morgan Stanley, Research Division Brendan Warn - BMO Capital Markets Canada Theepan Jothilingam - Nomura Securities Co. Ltd., Research Division Nitin Sharma - JP Morgan Chase & Co, Research Division Michael J. Alsford - Citigroup Inc, Research Division Rob West - Redburn Partners LLP, Research Division Jon Rigby - UBS Investment Bank, Research Division Lydia Rainforth - Barclays Capital, Research Division Teodor Sveen Nilsen - Swedbank Norge AS, Research Division Anish Kapadia - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division Hamish Clegg - BofA Merrill Lynch, Research Division Andrey Aleev - Crédit Suisse AG, Research Division Neill Morton - Investec Securities (UK), Research Division Irene Himona - Societe Generale Cross Asset Research
Morten Sven Johannessen: Ladies and gentlemen, welcome to Statoil's Third Quarter 2014 Earnings Presentation, both to the audience here in Oslo and to our audio and video webcast participants. My name is Morten Johannessen, and Vice President, Investor Relations, here at Statoil. This morning at 7 CET, Statoil announced the results for the third quarter of 2014. The press release and presentations for today's event were distributed through the wires and through Oslo Stock Exchange. The quarterly report and the presentations can be downloaded from our website, statoil.com. I would ask you to pay -- kindly pay attention to the information regarding forward-looking statements, which can be found on the last page. Today's program will start with Statoil's CFO, Torgrim Reitan, going through the earnings and the outlook for the company. As usual, the presentation will be followed by a Q&A session. We will aim to end the conference around 2:30 Central European Time. Please note that questions can be posted by means of telephone but not directly from the web. The dial-in numbers for posting questions can be found on the website. It is now my privilege to introduce Statoil's CFO, Torgrim Reitan.
Torgrim Reitan: So thank you very much, Morten, and good afternoon, and welcome. I have 3 messages today. First, our adjusted earnings are in line with my expectations and cash generation is strong. However, reported income is impacted by quarter-specific items, and I will come back to that in more detail. Second, we delivered strong operational performance and our improvement program is on track. And third, we continue to progress according to our strategy with value-creating transactions and with new discoveries, and we maintain our guiding for 2014. We will revert with an update on our guiding post-2014 in February at our Capital Markets Day. In the third quarter, we delivered adjusted earnings of NOK 30.9 billion, impacted by lower oil and gas prices and the effect of divestments. We also used our flexibility in the quarter, deferring gas production to create more value. This impact earnings, production and unit DD&A. Our reporting -- reported net income is negative NOK 4.8 billion. This is due to quarter-specific items of, in total, close to NOK 14 billion. We have taken an impairment in the oil sands in Canada, triggered by the postponement of the Corner field development. We have also taken impairments of exploration assets in the Gulf of Mexico and Angola, Martin and Dilolo. And then, negative price developments impact the value of 4 operational storages. This leads to an effective reported tax rate above 100% for the quarter. I'm pleased to report another quarter with strong operations. We produced more than 1.8 million barrels per day, around the same level as the third quarter last year, despite decline, divestments and moving of gas. Divestment and deferrals impact production by more than 100,000 barrels per day in the quarter so the growth is, as such, above 4 percentage points. We continue to produce with high regularity, starting and ramping up production and executing our projects on cost and schedule. And we are progressing well on our improvement program, particularly within production efficiency and within drilling and well. Our strategic progress is strong. We have divested assets for $3.5 billion in the quarter on the NCS and Shah Deniz in Azerbaijan. The gain from these transactions will be booked in future periods. Since 2010, we have divested for more than $23 billion resulting in $12 billion in gains. And we continue our exploration progress. Our new discovery offshore Tanzania brings estimated gas in place in Block 2 to 21 tcf. We also recently reported 30 million to 80 million additional barrels at Grane in the North Sea, an attractive candidate for our fast-track program. We had significant high-value barrels on the NCS. The new compressor at Kvitebjørn increases the recovery by 220 million barrels and Kristin low-pressure production will yield an additional 160 million barrels. Our third quarter dividend will be NOK 1.8 per share and this will be paid in February next year. And as you know, the second quarter dividend, that will be paid in November. Finally, as you all have seen, on the 15th of October, the board appointed Eldar Sætre as acting President and CEO, and many of you know Eldar well from before from his time as CFO in the period 2003 to 2010. The board's and Eldar's message is very clear. Our strategy remains firm. The business will be developed according to plan and our efficiency improvement programs will progress with full force. And we will provide an update at our Capital Markets Day in February. Our IFRS result was negative 4.8 billion, this is due to quarter-specific items already mentioned. And net operating income was NOK 17 billion, and as always, we make adjustments to reflect the underlying business. And this quarter, we adjust for impairments of NOK 13.5 billion and a gain on sales on assets of NOK 0.9 billion related to Dudgeon offshore wind and our 5% interest in Angola Block 15/06. So after adjusting for these effects, earnings were NOK 30.9 billion. The results was impacted by lower oil and gas prices, divestments and deferral of gas, partly offset by higher liquids production. Realized prices have declined more than Brent in this quarter. This is due to lighter crudes trading at a larger discount than earlier, both in the U.S. and also related to light qualities on the NCS. Costs are impacted by activity-driven elements such as U.S. gas transportation costs and there is also increased pension liabilities and cost related to increased gas injections. These are similar to the effects seen in the second quarter. OpEx and SG&A grows more than production in the quarter. Some of this is transportation costs related to increased activity. Some is related to diluent purchases and we have some nonrecurring costs in the U.S. onshore. We have previously guided increased DD&A over time. And this quarter, we see, as expected, a higher unit DD&A cost. In line with practice, we book only a share of the oil reserves early in a field's life, resulting in a high DD&A per barrel in the first years. This quarter, particularly, CLOV and PSVM in Angola and Gudrun on the NCS have high initial unit DD&A. These effects will be offset as we book more of the proved reserves. The DD&A unit cost is also impacted by the composition of production. The high production efficiency leads to higher liquids production with higher associated DD&A rate compared to gas. Our flexible gas fields have a very low DD&A per barrel, so reducing gas production increases the average DD&A per barrel. So for the year as a whole, we expect DD&A to be somewhat higher than in 2013, and this is in line with what we have said earlier. After-tax, we delivered adjusted earnings of NOK 9.1 billion. The tax rate was 70.6%. The higher tax rate for the international segment is due to higher income from higher tax regimes like Angola, together with expensed exploration without tax shield. We still expect the tax rate for the year of around 70%, and the tax rate is expected to stabilize below 70% in the coming years. So let's look at the segments. Our Norwegian business, upstream business, delivered earnings of NOK 23.2 billion. Results are impacted by lower prices, divestments and reduced gas production, which is partly offset by higher liquids production, as mentioned. Costs were impacted by new field startups, however, we continue to maintain a stable underlying field costs. From our operations outside Norway, adjusted earnings were NOK 3.5 billion. Earnings were negatively impacted by lower oil and gas prices, and we also saw increased diluent costs and some nonrecurring items as discussed. This is partly offset by lower exploration expense, and as mentioned, the discount to Brent in the realized prices has increased this quarter. Finally, the results from MPR were NOK 4.4 billion. It is up 11% year-on-year. This is a strong number mainly driven by European gas where we achieved good margins in the quarter. Some higher transportation costs in the U.S. impacts OpEx onshore. Our LNG business is running well and we have also saw -- we also saw improved refinery margins in the quarter together with increased margins on our U.S. gas sales. In the third quarter, we produced about 1.8 million barrels per day. This is around the same level as the third quarter last year despite the decline, divestments and deferring of gas. We are deferring equivalent to around 30,000 barrels per day in 2014 from Troll and Oseberg flexible fields. Turnaround also impact production with 6 successful turnarounds completed in the quarter. In total, turnarounds are expected to impact the 2014 production by around 50,000 barrels per day. In Norway, we continue to produce with high regularity, and the performance this year is actually the best since the merger with Hydro 7 years ago. So my colleagues at the Norwegian continental shelves are doing a great job, and they are running the improvement agenda with large momentum. The reduced production in the period is mainly due to the divestments and gas optimization. So if we adjust for these factors, we have a production growth in Norway of 4% this quarter. In the third quarter, we have 2 more fast-track projects on stream: it's the Fram and Svalin, and our -- and these are our fast-track #8 and #9. And that project continue on plan and we expect to see Valemon come into production by end of the year. We also continue to see increased production in our international portfolio. We are ramping up in Angola, including CLOV, which reached plateau in September, and we continue to ramp up in the U.S. Going forward, we will also start up new production with Jack/St. Malo and, in Canada, Hibernia South Extension. This will be towards the end of the year. For the quarter as a whole, we set a new record for startups equity production internationally with 743,000 barrels per day. Cash generation continues to be strong. Year-to-date, cash flow from operations after tax is NOK 102 billion. And as you know, we have paid the full year dividend for 2013 as well as the quarter dividend for the first quarter this year. Cash flow to investments was NOK 89 billion year-to-date and the organic investment was around $15 billion, and this is as expected and as planned for. Our net debt to capital was 19%. This was negatively impacted by a weakened Norwegian kroner as our debt is mainly held in the dollars. The second quarter dividends will be paid end of November with around NOK 5.7 billion and we expect net debt at year-end to be around 20% in line with earlier guiding but it will, of course, be affected if there is large currency change at year-end. We have a firm financial framework and a solid balance sheet. So let me change pace and share some reflections on the market environment and our response. The last few weeks have been a reminder on the volatility and the cyclical nature of our industry. Short-term oil prices have dropped by $30 from its peak in June, but interestingly, prices in the future markets for oil 3 to 4 years down the road are actually higher today than 1 year ago. Volatility is nothing new in our industry. The recent developments are well within the outcomes we prepared for when we do our business planning. For us, this is all about resilience and being ahead of the game. We have secured a strong position and taken measures well before the most recent volatility started. We are taking action when we can and not waiting until we have to. So we are well positioned to handle different scenarios. First of all, running with a solid balance sheet is an absolute. We have a AA- rating, a net debt of 19% and $18 billion in cash. Second, investing in the most robust and profitable project is key. Portfolio management is an integrated part of this where we have a strong track record. We also maintain flexibility in our projects, as on the NCS where we operate most of our investments and exploration ourselves. Third, our improvement program is making us even more resilient. We have already reduced our staff costs after reducing by more than 1,000 positions within HR, finance, communications, IT and facility management. We see improved production efficiency and drilling performance. And going forward, this will lead to even lower breakeven costs in our projects. So in short, we are taking the steps necessary to steer through short-term volatility. At the same time, we maintain focus on the long term by maintaining our exploration activity and maturing our strong resource base. So let me return to the outlook. Even though we reduced our gas production in the last quarters, we maintain our 2014 guiding. This is due to strong operational performance and regularities so far this year. New fields will also contribute to the growth like Gudrun, CLOV and the fast-tracks. Our guidance of around $20 billion in investment for the years remains. Year-to-date, our organic CapEx is around $15 billion. Finally, exploration activity will come in around $3.5 billion as guided, and we expect to complete around 50 wells. And I would like to highlight some of the wells to watch going forward: we have Bay de Verde in Canada, which are spudding as we speak; Romeo and Saturn here in Norway; Jacaré in Angola; Perseus in Gulf of Mexico; as well as Kungamanga, offshore Tanzania. So let me summarize. Our earnings are impacted by the lower prices and the reported income is impacted by quarter -- quarterly specific items. But our underlying operations are strong, including our improvement program, which is on track, and we continue to deliver strategic progress. So thank you very much for your attention, and we look forward to give a status at our Capital Markets Update and 4Q presentation in London in February, and I hope to see all of you there. From 1st of January, Peter Hutton will join Statoil from RBC Capital Markets to head IR, and I look forward to his contribution. And I also want to thank Morten here very much for heading up IR over the last periods, and looking forward to having you to continue as Head of IR in the U.S. And then I'll leave the work to you, Morten, to lead us through the Q&A session. So thank you.
Morten Sven Johannessen: Thank you very much, Torgrim. And we will now turn to the Q&A session and Torgrim will, as usually, joined by Senior Vice President for Performance Management and Risks, Svein Skeie; and Senior Vice President for Accounting and Financial Compliance, Ørjan Kvelvane. We will take questions both from the audience here in Oslo and for over the telephone. I will first ask the operator to explain the procedure for asking questions over the telephone. Please, operator.
Operator: [Operator Instructions]
Morten Sven Johannessen: Thank you. We will start with question from the audience here in Oslo. Please state your name and the name of your company. Remember to push the button on the microphone in front of you, ask them the question and then release the button when you're finished. Please try to stay to one question. Thank you. We will now take the first question from here in Oslo. We'll start with Trond Omdal.
Trond Frode Omdal - Pareto Securities AS, Research Division: Trond Omdal, Pareto Securities. At the Capital Markets day in February, you targeted $100 that you were cash flow neutral after CapEx and dividends at 2016 at $100 real. Of course, afterwards, you've made some divestments, increasing your capital flexibility. But the current oil price being below that target, how did that influence your thinking or the initiatives going forward?
Torgrim Reitan: Okay. Thank you, Trond. So oil price volatility is the nature of this business. What has surprised me more is actually the stability in the oil price over the last 3 to 4 years. So I say, as I said, we are well prepared for dealing -- in dealing with this. I think key for us is to be consistent and drive our strategy through our volatile oil prices. So the guiding we put forward at the Capital Markets Day early this year still remains firm. So free cash flow positive after dividend 2016 on a $100 real basis. So that is the basic -- basis for the guiding. And then changes has happened to the business in between, and then we will give an update in due time in February in London.
Morten Sven Johannessen: Yes. Another question from Oslo?
Kjetil Bakken - Carnegie Investment Bank AB, Research Division: Yes, this is Kjetil Bakken from Carnegie. You mentioned that the realized oil prices were impacted by volatile differentials, which have widened this quarter. Do you see this as a quarter-specific issue? Or does this reflect more long-term underlying trend shifts?
Torgrim Reitan: Thank you, Kjetil, it's a very good question. We have seen that the spread widening this quarter and it is mainly related to oil production in the U.S. that has sort of follow-on effects to the rest of the world. I think it's fair to say that this will probably be a bit volatile. That is called as such and we follow it closely but it's the nature of the oil production mix in the U.S. So I just encourage you to follow that closely in the coming quarters.
Morten Sven Johannessen: Morten?
Morten Evjenth Lindbäck - Fondsfinans ASA, Research Division: Morten Lindback, Fondsfinans. Eldar Sætre, he had a comment earlier today on share buyback, and you're increasing -- looking at that. Could you explain a little bit what you mean by that?
Torgrim Reitan: On last -- or in the winter -- in the Capital Markets Day, we said that share buyback is a natural tool for us to have available going forward and we have the necessary mandates from the AGM. What we also said was that the use of share buybacks will be dependent on the financial situation, the balance sheet of the company, our free cash flow generation and proceeds from transactions. And that still remains valid.
Morten Sven Johannessen: Any further questions here in Oslo? One more from Trond Omdal.
Trond Frode Omdal - Pareto Securities AS, Research Division: Trond Omdal, Pareto. You've guided your trading result with marketing and processing and renewable between NOK 2.5 billion and NOK 3.5 billion. You had a good result in Q3. Is that still the guiding you would go -- going forward? Or do you have any nuances there in Q4?
Torgrim Reitan: Early guiding in this segment is still valid. What you should expect is actually quite a bit of volatility in this result. So it will, on a quarter basis, we expect it to be both above and below that guiding. But if you see it over a year's perspective, it should typically be within that range.
Trond Frode Omdal - Pareto Securities AS, Research Division: No color on Q4?
Torgrim Reitan: No color on Q4, Trond.
Morten Sven Johannessen: I think, then, we'll take the first question from the telephone. Operator?
Operator: We'll now take our first phone question from Oswald Clint from Bernstein.
Oswald Clint - Sanford C. Bernstein & Co., LLC., Research Division: Yes. Torgrim, my question was really on the U.S. onshore business. 300,000 barrels per day or so with the unconventional business. Could you speak about the kind of rough breakeven WTI price for that business and how you think about that side of the portfolio given what's happened to the oil prices in the third quarter? And secondly, I'm just curious about your comments. And obviously, it's focused on the return average capital employed. But in particular to the non-operated kind of development key and projects like Stampede which were sanctioned yesterday in terms of the Gulf of Mexico, are you still comfortable that the non-operated developments are still hitting the attractive return hurdles that Statoil is looking for? Maybe you could just talk about that, please.
Torgrim Reitan: Okay. Thank you, Oswald. So within the onshore complex in the U.S., we are generating positive cash flow in totality. So we earn money in the current environment. Of course, we would have liked to earn even more, but that's the situation there. On the return on capital employed, is a metric that is very important to us. As you know, we have put forward specific guiding on that, turning the trend in a falling return on capital employed in this industry. And it's a real background behind the -- all the improvement efforts that we are doing and the prioritization in the portfolio. When it comes to Stampede, that is recently sanctioned. It is an attractive asset with a competitive breakeven. More generally, your question on how we deal with it -- this on non-operated assets, of course, less flexibility but we have also flexibility to divest out of assets that doesn't stand the profitability test or the prioritization internally. And I think, if you look back on quite a few of the transactions done over the last years, you'll see a clear pattern in that.
Morten Sven Johannessen: Next question on the telephone, please.
Operator: We will now take our next question from Haythem Rashed from Morgan Stanley.
Haythem Rashed - Morgan Stanley, Research Division: A couple of questions from my side. Firstly, I just wanted to clarify one quick clarification, first of all. You mentioned on Jack/St. Malo that you were talking about sort of a start-up by end of year. Were you referring to sort of end of 2014? Or are we talking about 2015 for that project? Second question, perhaps relating a little bit to some comments that hit headlines this morning from, I think, it was an interview with Eldar, just regarding spending going forward and the sort of the idea that you may reconsider spending. You sort of -- in light of sort of recent developments, I mean, perhaps you could just sort of talk a little bit about if you were to sort of see some of these asset sales come through, are we talking about with the sort of low oil price environment you may consider lowering spending just by sort of doing less or delaying projects? Or is this actually a view that you have perhaps on sort of softening in the service cost environment? But if you could provide some of the -- some comments around that. And related to that question, obviously, in the quarter, you've impaired the Corner development and that follows on obviously from the postponement of that prospect -- project. Should we expect to see with -- delay on decisions, for example, with projects like Bressay further impairments coming through? I mean, is that something that you may consider given the developments in the oil price?
Torgrim Reitan: Thank you very much. I hope I have noted off all your questions. But the Jack/St. Malo is the end of this year, 2014. So spending going forward, our guiding is $20 billion on average from 2014 to 2016. And that, for the time being, remains firm. And then we will, at the Capital Markets Day in February, revisit all our guiding and, of course, taking into account changes in our business. You had also a question whether the current price environment is an opportunity to do less. The current price environment is well within what we have planned for and are robust for. But I think it's fair to say that we are opportunity-rich. We have many investment opportunities, and there are lots of projects that are not coming as planned for a few years back. But I think there are some 30 projects that we have put on the waiting list that we like, but we would like to take them later on, capitalizing on further improvements, standardizations and also potentially another cost level. So that then Corner is -- Corner, to give a comment on that, Corner is still positive economics but Corner did not stand up in the competition internally among other investment opportunities. So we have put it on wait for later.
Operator: We will now take our next question from Brendan Warn from BMO Capital Markets.
Brendan Warn - BMO Capital Markets Canada: Yes. Just I guess, we've got a former CFO and a current CFO on the platform. I guess, my question relates to both in the current price environment and maybe if we thought about a scenario for the present environment with $70 per barrel. Can you just talk through your funding and debt strategy and any refinancing opportunities or finance -- refinancing we need to think about going into 2015, please?
Torgrim Reitan: Brendan, thank you very much. So first of all, even if Eldar is a former CFO, I think he truly acts like a -- excuse me, as a CEO currently. But of course, he has a very good understanding of the CFO business. So I think that works well. We are constantly optimizing our funding and debt structure, and the market is there and provides good and open opportunities and attractive conditions. So we are regularly operating in that market. So I think last year, we used the market, I think it was $10 billion, if I'm not wrong. So generally, what we are doing, we have a pretty long duration on debt. The average duration is 10 years. So that is, from a strategic perspective, a sufficiently long duration. And with the current interest rates, it makes sense with longer durations.
Brendan Warn - BMO Capital Markets Canada: Okay. And in terms of net debt, are you comfortable around that 20%? And you've been as high as sort of 27%, 28% in the past. What can we think about for 2015?
Torgrim Reitan: What we said at the Capital Markets Day in February was that a net debt in the range of 10% to 30% is a natural range for us to operate in. We still want to run with a very solid balance sheet.
Operator: We will now take our next question from Theepan Jothilingam from Nomura.
Theepan Jothilingam - Nomura Securities Co. Ltd., Research Division: Yes. Just another point of clarification, just going back to thinking about capital spend for next year. I mean, could you just clarify whether CapEx for Shah Deniz and Aasta Hansteen was included in your plans for '15 and '16? And alongside that, just whether you can give any sort of percentage on what is committed CapEx or not. And then aside from that, just quickly on projects in Johan Sverdrup, clearly with the volatility in oil price, but also in terms of thinking about oil for services, contractors, rig rates, could there be a potential delay on the sanction of the first phase of Johan Sverdrup?
Torgrim Reitan: Okay, and thank you, Theepan. So on your first question, Shah Deniz and Aasta Hansteen were projects that were sanctioned. So they were naturally part of the full portfolio that we had at that point in time. But of course, in our planning, we also assume that there might be changes in the portfolio. When it comes to Johan Svervdrup, it's just such a lovely field, I must say. It's very, very strong profitability and big returns. So there's no doubt that, that will be a very prioritized project going forward, and we plan to sanction it in the beginning of 2015. So there are no changes to that plans.
Theepan Jothilingam - Nomura Securities Co. Ltd., Research Division: Okay. And just come back to committed CapEx for next year?
Torgrim Reitan: Yes, Svein?
Svein Skeie: For the CapEx this year, of course, more or less all is committed for this year. But also, then, for next year when we have our plans, we have quite a bit of firm commitments in the development projects that we are now maturing and progressing. So most of the CapEx in 2015 is then committed. Then we start in '16 and onwards to get more and more flexibility..
Theepan Jothilingam - Nomura Securities Co. Ltd., Research Division: Okay, great. Is that the same, by the way, on exploration spend compared to the development?
Torgrim Reitan: So spend, there are more flexibility but we are a strong believer on exploration, and I think it's important to continue to explore through the cycle. It's very important to us.
Operator: We will now take our next question from Nitin Sharma from JPMorgan.
Nitin Sharma - JP Morgan Chase & Co, Research Division: Two questions, if I may. First one on exploration. Obviously, very successful campaign, 2011, '13. I remember, earlier this year you mentioned P90-P10 estimate of 400 to 1.5 billion BOE of targeted resources. So maybe you could clarify where does the year-to-date performance stand in terms of discovered resources? And the second one, clarification, cash taxes. Maybe some explanation for relatively low cash taxes in first 9 months of this year.
Torgrim Reitan: Okay. So Svein, you can prepare for the cash taxes. Exploration, so far this year, of course, there have been a couple of disappointments in this quarter but overall, significant volumes added. So we are fairly in line, still, with expected resource additions compared to what we have said earlier.
Svein Skeie: When you look at the cash taxes last year, we paid around NOK 80 billion the first 9 months. This year, we have paid around NOK 65 billion. And one of the main part of the explanation is then related into the Norwegian continental shelf where we don't pay taxes half of it the year it happened, and half of it the year after. And if we have done some transactions regarding -- that has affect now this year as well as the redetermination that we have done. And that will affect the taxes for this year and you could see in third quarter, we paid around NOK 15 billion in taxes versus, then, around NOK 18 billion in last year. And we will make 2 installments for taxes up in Norwegian continental shelves in the fourth quarter.
Operator: We will now take our next question from Michael Alsford from Citi.
Michael J. Alsford - Citigroup Inc, Research Division: I've got 2 questions, please. Firstly, can you talk about what you've achieved today in terms of your percentage -- maybe in terms of percentage, sorry, of your 2016 targets of annual savings of $1.3 billion from your costs and capital efficiency program? And secondly, just on the write-offs in 3Q. You talked about some of the write-off was relating to signature bonuses on Block 39 in Angola following Dilolo. Could you maybe talk about how much of the signature bonus has been written off and whether there is still a degree of signature bonus that's still on the balance sheet?
Torgrim Reitan: Okay. So I'll take the first and Ørjan, you can take the next. So we will give a detailed update on the improvement programs in February in London. But I can give you some highlights on where we are. There are quite a few things that are now delivering very significant results. Production regularity on the Norwegian continental shelf is a very important contributor to the whole step project. It is generating significant value. I think it's fair to say that production regularity is still not part of the $1.3 billion that we have guided on, but it's part of the bigger improvement agenda. On drilling and well, we see significant impact of the standardization, simplification of well and coordination. So, so far this year, we see that we use 15% less time on each well. On the modification portfolio, which, actually, quite a bit of the same approach, we see a similar impact so far this year. Within U.S. onshore, take Bakken as an example, last year, we had improved the drilling efficiency or time per well by 25%. That was by end of 2013, and now we see 10% additional improvement. Also, in Eagle Ford, that had been reduced by 50%, 5 0, last year and now we see a 20% further improvement and reduction. So all of these brings meaning to result and effect into it. And then there is all these more fundamental things that will be very important part of the new project developments around. That will actually take longer time before it turns into cash saved, as this will be more relevant for new projects being sanctioned. So well underway, and we will give a fuller update in February. And then, Ørjan?
Ørjan Kvelvane: Okay. Signature bonus, we said NOK 3.4 billion related to Angola and Gulf of Mexico. When it comes to remaining into Angola, it will be between NOK 2 billion and NOK 3 billion left on our balance sheet related to Angola.
Operator: We will now take our next question from Rob West from Redburn.
Rob West - Redburn Partners LLP, Research Division: Maybe just answer this on the exploration expenses. Just looking at the IFRS exploration expense, that was NOK 8.5 billion in the quarter, and on an adjusted basis, it was NOK 3.6 billion, so kind of almost NOK 5 billion difference there, which you treated as kind of items impacting or an adjustment. I've never seen those 2 numbers kind of diverge so much before, the IFRS exploration expense and the adjusted. So I was wondering, can you give us a bit more detail around what that comprises and why you've classified it as a kind of adjustment? And then secondly, some interesting news out last week, about exploration plans next year in Norway and potentially scaling that back to as few as 5 wells. I was just interested if you could comment on that. And is that something that's really -- something you're thinking about? Or would that be enough to keep the resource hopper full?
Torgrim Reitan: Okay. I'll take the last one and, Ørjan, you take the first one. On the last one, I have no ideas where that information started and what it's about. Our plans is to continue with full force on NCS and we have a very attractive drilling program on the NCS also next year. So we don't see any significant chance -- change. So Ørjan?
Ørjan Kvelvane: So the NOK 5 billion is, then, NOK 3.4 billion related to the signature bonuses, as just commented on, on Angola and Gulf of Mexico. Of course, there is no drilling expense into that figure. The remaining NOK 1.6 billion is part of the NOK 8.1 billion impairment related to oil sands. So we take a share over the intangible asset as well of the oil sand. But in total, NOK 8.1 billion and NOK 1.6 billion is hitting the exploration line.
Operator: We will now take our next question from Jon Rigby from UBS.
Jon Rigby - UBS Investment Bank, Research Division: Yes, just one question. Yesterday, BP commented that in this current part of the cycle, we actually saw more opportunity than threats to their business. I just wondered, firstly, do you agree with that proposition? Second is, given your comments around the balance sheet and protecting your cash and debt position, do you feel that you are in a position to take advantage of opportunities? And thirdly, even if you were financially in that position, would the board feel comfortable in doing something like that around portfolio before a permanent CEO is appointed?
Torgrim Reitan: Okay, Jon. Thank you. So portfolio management is an integral part of our strategy, both divesting and acquiring, and that is something that we monitor very closely all the time. So our radar screen is always very large. It will be very important for us to run with the balance sheet, of course, it will. On -- third point is that Statoil is purely operational and fully capable of doing everything that an oil company -- is expected from and oil and gas company. So Eldar is taking the full role as a CEO. So you can rest assured with that. My last point will be that looking at our portfolio, it's actually a very full portfolio of investment opportunities. So there is visible growth based on the assets that we have currently for more than 10 years, which is a very comfortable place to be as executives in the company. So there is no urgent need to or no need to fix the portfolio, if that is necessary or useful background, Jon.
Jon Rigby - UBS Investment Bank, Research Division: Right. But still, if that opportunity to high-grade presents itself, that would be something you'd still look at? Would that be fair?
Torgrim Reitan: I will, of course, never go into any specifics in this direction but it's an obligation to both the board and the executives to constantly look at everything.
Operator: We will now take our next question from Lydia Rainforth from Barclays.
Lydia Rainforth - Barclays Capital, Research Division: I have 2 questions, if I could. The first one, just going back to something that you said on DD&A during the call that it would be high initially because of the relatively low proportion of reserves that you've actually booked. Can you just talk us through what proportion of reserves, I guess, from the 2P side you would typically have booked as proved at this stage for something like CLOV or PVSM (sic) [PSVM]? And then the second question is just going back to the impairment charges. So we had impairment charges this quarter, we had impairment charges last quarter. And within the process at Statoil, do you think that, that is a -- that there is a robust process around testing what might be adverse scenarios? Or is it just really, this is a normal cost of doing business?
Torgrim Reitan: All right. So Svein, you can take the DD&A. When it comes to the cons and processes, I leave the word to Ørjan. But my -- I'll just give 1 statement upfront. And when it comes to these processes, they are very robust and very rigid. And I'm very comfortable with the judgment that we do. I think it's fair to say, it's a natural part of running a company that you will have impairments from time to time and you will have gains from time to time. So if you look and you know what we do, we do these adjusting items in our accounts, and if you look back for quite a few years, we have actually more positive results that we have taken away than negative results we have adjusted for. So this is a natural part of running a big corporation. So Svein, first, on DD&A.
Svein Skeie: Yes. On the DD&A, as Torgrim said in his presentation, there will be, on oil fields typically, there will be lower proportion of the reserves booked initially due to the fact that it's depending on number of wells that you have in place and when you start the production. So for example, for one of the fields that has been starting up this year, we have seen around 30% of the total reserves have been booked. But as we are, then, moving ahead, getting the real wells in line for other projects, we are then increasing as we are moving along. And if we look at -- for some other projects that we had last year with, for example, Skarv and Pazflor, which then initially had lower reserves when it starts up, they have booked additional reserves this year. So taking, then, the reserves up and impact of the [indiscernible] on those things. But for one of the fields started up now, typically around 30%.
Torgrim Reitan: All right. Ørjan, anything to -- that we should add on processes around adjustments and impairments?
Ørjan Kvelvane: I think we follow the same procedures every quarter, either in good times or bad times. So we look for triggers, and if there are triggers for impairment or reversal, we do additional work. And sometimes it end with reversal or impairment. So yes, we follow the same processes every quarter.
Torgrim Reitan: Thank you, Ørjan.
Operator: We will now take our next question from Teodor Nilsen from Swedbank.
Teodor Sveen Nilsen - Swedbank Norge AS, Research Division: There's no doubt about that you're really doing effort to reduce the costs on NCS. Have you changed the plans for any of your fast-track projects? And then secondly, what's the book value of the oil sand assets in Canada?
Torgrim Reitan: Okay. Thank you, Teodor. So the fast-tracks are generally very competitive, and they are working well in the internal competition within Statoil. We have one recent development this quarter, Grane D, that is typically -- it is high-value barrels and it's a great candidate for a fast-track project. So it is likely that, that will be developed under that umbrella. Oil sands, Ørjan?
Ørjan Kvelvane: Normally, we do not comment on the book value of single assets, so -- but, yes.
Torgrim Reitan: Okay. Thank you, Ørjan.
Teodor Sveen Nilsen - Swedbank Norge AS, Research Division: Just a follow-up on the fast-track projects. So is it yes or no if you have changed the plans for any other fast-track project coming up for the next few years?
Svein Skeie: There has not been any changes. We expect Oseberg Delta will be the next one coming up. And as Torgrim said, the Grane D discovery that we recently announced, that could be a candidate. And we have also other candidates for fast-track projects coming up going forward as well.
Operator: We will now take our next question from Anish Kapadia from TPH.
Anish Kapadia - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: A couple of questions for me as well. I was just wondering, given the better drilling efficiency that you're seeing combined with rig rates coming down pretty substantially, seismic cost coming down, and also looking through your -- the wells you drilled this year, seems like there'll be a lack of appraisals that you'll need for next year. Is it fair to assume that we'll see a significant reduction in exploration and appraisal CapEx in 2015? And then secondly, looking at the U.S., onshore CapEx in the U.S. is clearly a lot more sensitive to oil price. So I was just looking at in a sustained, say, $80 dollar Brent scenario where you're going to see $70 in the U.S. and probably sub-$4 gas prices, what impact does that have on your drilling plans? How many rigs would you look to be running in that kind of sustained scenario?
Torgrim Reitan: Thank you. So drilling efficiency is very good and it will, of course, be something that we take with us into next year. When that is set, we will continue to use exploration as a very important growth tool. It will be too early to comment on exploration spending next year. We are, as we speak, working on the drilling plans and the prioritizations in -- we -- also within the exploration portfolio. So I have to revert to that later. So on onshore, we run currently with 6 rigs in Bakken, with 5 rigs in Eagle Ford and 9 rigs in Marcellus. If we find a robust and good run rate where we can actually take learning as we go across the drilling tools. But you're right, this is an area where there is typically more flexibility in adjusting as we go, but we have not made any adjustments to our plans.
Anish Kapadia - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Can I just follow up on that? Is there any pressure from your partners in that, given their balance sheets may not be as strong as yours? Any pressure to reduce rig count in any of those plays?
Torgrim Reitan: I can't go into detail, but we still consider both partners and other operators to be very interested and continue to build this business. And I think it's -- an example of that is Southwestern's acquisitions in Southern Marcellus recently.
Operator: We will now take our next question from Hamish Clegg from Bank of America.
Hamish Clegg - BofA Merrill Lynch, Research Division: I still have one left, which is just on the CEO plans and timings, I wondered if you could just give us a little bit more color in terms of whether we can expect internal candidates from your very strong lower layers of management in the business. Or are we more likely to see an external candidate? And in line with that, will there be a potential peer review to prevent a risk of other instances of CEO departures and also to attract the top talent in the business? And finally, with this -- within the CEO question, can we expect the government to have an influence over potential hires?
Torgrim Reitan: Okay, thank you. Very interesting question. I think it's -- the board has started the process to find a permanent CEO. Eldar Sætre is acting but he has also stated clearly that he doesn't consider himself as the permanent candidate. The board will do an external search but also evaluate internal candidates for the job. I'm sure that in the end, the board will make a good choice when it comes to the next CEO. For me, it will be wrong to elaborate too much on this issue. It more belongs with the Chairman.
Hamish Clegg - BofA Merrill Lynch, Research Division: And can you even comment about whether the government will have an influence over the position or not?
Torgrim Reitan: The -- this is a board responsibility to find the new CEO, and so that is run from -- on that part of the organization.
Hamish Clegg - BofA Merrill Lynch, Research Division: No problem. Then I had just one follow-up, if I may ask a second, which is just on reserve bookings. Year-on-year, following the material divestments booked this year and some of the, I guess, impairments that you've kindly said -- talked about. Can we expect reserved bookings to maybe down -- be down year-on-year? But I guess -- and can you confirm that Johan Sverdrup, when sanctioned next year, will actually contribute to the full year of '15, which will, I guess, get released in 2016?
Torgrim Reitan: Okay. Reserve bookings. So the reserve booking is very much driven about -- from sanctions of new developments. And it's driven by traditions of existing developments and then its acquisition and divestitures. So it's too early to comment on it. But I think it's important to note that we have done a few divestments to -- during the year that will have an impact on the reported reserve replacement. And of course, then, there's also this organic reserve replacement, which is another number that is not being impacted by portfolio changes. So it's too early to comment.
Hamish Clegg - BofA Merrill Lynch, Research Division: And can you just remind us of any sanction major -- what the major sanctions were this year?
Torgrim Reitan: I'll leave that to Svein. You asked about Johan Sverdrup. That is planned to being sanctioned next year.
Svein Skeie: Yes. On other sanction this year, as you might have seen, Stampede was sanctioned yesterday. So that has been sanctioned. We also, then, have some sanction of -- looking into some other fast-tracks. We are then -- also then, preparing for an eventual sanction of the Peregrino South in Brazil.
Operator: We will now take our next question from Andrey Aleev from Credit Suisse.
Andrey Aleev - Crédit Suisse AG, Research Division: Just one on MPR. You note that the results were impacted by impairment losses related to midstream assets and reduced expectation of future trading activities. I wonder if you could give any color for the size of this reduced activity going forward?
Torgrim Reitan: Okay. Thank you, Andrey. So you're right, so there's an impairment also in this segment. We won't go into the specific assets but it is -- there's this asset that relates to bringing oil and gas to the market that we don't see that we need that much anymore.
Operator: We will now take our next question from Neill Morton from Investec.
Neill Morton - Investec Securities (UK), Research Division: Two questions, please. Firstly, in light of the lower oil price in the third quarter, I was surprised at the working capital build on the cash flow statement. Could you perhaps explain that? And then secondly, I'm noting that your U.S. gas realizations have been sort of widening versus Henry Hub. I think you have spoken before about evacuation bottlenecks in the Southern Marcellus and you took a write-down in that regard in Q2. But maybe talk about when you expect some of those bottlenecks to clear.
Torgrim Reitan: Okay, and thank you very much. So Svein, if you take the working capital. When it comes to U.S. gas realization, the way we book or realize price in the international [indiscernible] segment is related to local gas prices in the Marcellus area. While the price that we realize as a company is linked to or -- and the price. And we sell our gas into Toronto and Manhattan, currently. So in the Southern Marcellus, there is bottlenecks to deal with. This is progressing, but it is not keeping up to speed with the upstream developments. And then working capital, Svein?
Svein Skeie: If you look at the year as a totality, we see pretty stable in the working capital environment. But I guess, what you' refer to is, then, the changes from the second quarter into this quarter. And there, we have done -- built up some working capital that could be affected of -- if you have vessel in transit and those things. But also, there's an underlying change where we did not have contango in the market. And when you have contango in the market, typical evaluate if you should have more into storage, which, then, could typically build up the working capital.
Neill Morton - Investec Securities (UK), Research Division: Okay, that's fine. Were there any gap storage effects in Q3?
Svein Skeie: I will not go into -- on the specific there but in general, it is perceived that the volumes and storage has already been filled up, because that source's natural [indiscernible] prior to the winter, when the winter season is coming. So all through Europe, but also down -- as a general rule, also, we see that in U.S.
Operator: We will now take our next question from Irene Himona from Societe Generale.
Irene Himona - Societe Generale Cross Asset Research: Yes. If I can go back to fast-tracking, please. You had a target to reach, I believe, 100,000 barrels a day of production from fast-track projects by the end of this year. Obviously, these are very low-cost, low-CapEx barrels. They seem ideally suited to a low oil price environment. So my question is, is the plan for 100,000 on track? And in the event of a prolonged period of price weakness, let us say, if there is no OPEC response next month, how much flexibility is there to divert either more capital or more technological expertise to accelerate those projects being developed?
Torgrim Reitan: Okay. Thank you. Yes, so when it comes to the fast-track, there are 9 of them onstream now, so they are contributing with very valuable barrels. We have had some issue with one of them so -- on the reservoir side, so it will not be fully delivered on the 100,000 barrels. Our flexibility, I mean, we -- of course, we will prioritize the resources, that we can and get best use for it wherever they are, as such. So absolutely, we have flexibility.
Morten Sven Johannessen: Thank you very much. That will conclude our Q&A session today. Today's presentation and Q&A session can be replayed from our website in a few days and transcripts will be available. Any further questions can be made to the Investor Relations team, and you'll find the details in the back of the presentation or on statoil.com. Thank you for participating, and have a good afternoon.